Operator: Good day and thank you for standing by. Welcome to the EchoStar Corporation Conference Call for the First Quarter 2021 Results. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Terry Brown. Please go ahead.
Terry Brown: Thank you, operator, and good morning, everybody, and welcome to our earnings call for the first quarter of 2021. I'm joined today by Mike Dugan, our CEO; Dave Rayner, COO and CFO; Pradman Kaul, President of Hughes; Anders Johnson, Chief Strategy Officer and President of EchoStar Satellite Services; and Dean Manson, General Counsel and Secretary. As usual, we invite media to participate in a listen-only mode on the call and ask that you not identify participants or their firms in your report. We also do not allow audio recording, which we ask that you respect. Let me now turn this over to Dean for the Safe Harbor disclosures.
Dean Manson: Thank you, Terry. All statements we make during this call, other than statements of historical fact, constitute forward-looking statements made pursuant to the safe harbor provided by the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-K for the year ended December 31, 2020, filed on February 23 and our subsequent filings made with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. I'll now turn the call over to Mike Dugan
Michael Dugan: Thanks a lot, Dave, and good morning to everyone, and welcome. As a management team, we remain focused on operating the business in an efficient and profitable manner, and I'm pleased to report that we delivered great results in the first quarter. We grew revenue, net income and adjusted EBITDA over the same period last year as we continue to manage through the various challenges associated with COVID-19. India and Brazil, countries where we have large operations, are experiencing high infection rates, and we are placing top priority on protecting the safety and health of our employees there. I'm extremely proud of the organization for showing tremendous resolve to keep our customers connected and functional during these difficult times. Let me now turn it over to Pradman, Anders and Dave to expand on their business segments. Pradman?
Pradman Kaul: Thank you, Mike. The first quarter was very strong for Hughes. Revenue was up 4%, adjusted EBITDA was up 24% over the same quarter last year. Our adjusted EBITDA margin in Q1 was 42.4%, increasing from 39.1% in the fourth quarter of 2020 and higher by 700 basis points from the first quarter of 2020. We ended Q1 of 2021 with approximately 1,533,000 subscribers, down 11,000 from December 31, 2020. Our Hughes net subscriber base in the United States declined by approximately 25,000 but that's not the whole story, as U.S. retail ARPU continues to increase due to the high demand for broadband services. While we continue to operate at peak capacity, we are managing our sales activity to optimize service to our existing subs, and we expect these trends to continue in the near term. Also in March 2021, we secured additional capacity on the Telesat T19V satellite payload to Puerto Rico that will enhance the customer experience for current Hughes net customers and enable us to serve even more customers on the island with affordable, reliable Internet access. In Latin America in Q1, we grew our subscriber base by approximately 14,000. Our sales and ARPU increased relative to Q4 '20 despite a challenging environment associated with the COVID-19 pandemic, specifically in Brazil. We remain focused on managing churn and continue to monitor all aspects of our consumer operations. We anticipate ongoing growth in our Latin American consumer markets throughout 2021. As you know, 2020 was a difficult year for our enterprise business as many customers delayed or canceled orders and we dealt with several bankruptcies. We are pleased to report that our Q1 enterprise orders were robust and grew 74% from the same quarter last year. Speaking of new orders, our North American enterprise division had its stronger Q1 in years that included extensions with existing customers and significant activity in the franchise market. The active deployment cycle from Q4 continued into Q1 with installations dispersed across several accounts and regions. The industry research firm, Vertical Systems, released their 2020 market analysis, covering the North American-managed SD-WAN market. For the third consecutive year, Hughes continued to grow market share and maintained its number two position, behind AT&T and in front of Verizon. This is a welcome validation of our commitment to service delivery excellence and our practice of tiering SD-WAN solutions for our customers. For the in-flight connected to vehicle market, we've seen actively increases in terms of flights and preparations for further deployment of equipment and service through our partners. Also, we are excited that Global Eagle Entertainment, a long-time IFC customer, has successfully emerged from the restructuring process. We are now engaged in their efforts to optimize the current operational network and support the new opportunities. We have also made substantial progress in our engineering work associated with the next-generation system in support of the SES-17 platform. Our international enterprise business also got off to a great start for the year. We are particularly excited about our major USO program win in Colombia, valued at approximately $18 million for satellite broadband services to help bridge the digital divide. These orders will provide 10 years of managed services, predominantly using the Eutelsat 65 West and Telesat T19V satellites currently under lease. The capacity will be used to provide broadband services to rural and remote villages, mainly through community WiFi hotspots. We expect future growth in digital divide projects as governments around the world realize the importance of providing broadband to all citizens no matter where they live, and satellite is one of the most effective solutions for rural and remote areas. In India, our team has crossed a 70,000 site count with regard to the number of VSAT supporting the banking industry, including branch and ATM connectivity. Also in India, we received an order from Nayara Energy to connect 3,500 oil retail outlets across the country, which brings our total oil retail site serviced to 28,000. Elsewhere in Asia, a major multinational oil company has awarded us a 5-year project to provide managed services using our multi-transport capabilities for over 400 sites in one of the region's largest countries. The Jupiter system continues to be the de facto standard for satellite broadband, and we continue to receive orders from major operators around the world. Pasifik Satelit Nusantara, or PSN, who are involved in the consortium to build and operate the N3 satellite, which will provide a range of services to the Indonesian government, has ordered the Jupiter system to be used as the initial reference gateway system for this satellite. This reference gateway will be used to measure the quality of services provided over the N3 satellite and should pave the way for additional orders in support of user traffic. Various Indonesian government agencies will use the N3 satellite will not only bridge the digital divide through cellular backhaul and community WiFi but also to enable broadband connectivity to a wide range of government offices. In the Middle East region, Omantel has ordered the Jupiter system that supports multiple satellites, Ka-band and Ku-band. And initially, we used to provide 2G and 3G cellular backhaul over satellite, connecting previously unconnected areas. Ultimately, Omantel will deploy 4G connectivity to rural areas as well using the Jupiter system. We also received orders from existing partners, including Eutelsat and Yahsat, where we would deliver remote terminals to support the subscriber bases. We continue to work on closing our JV agreement with Bharti Airtel. As previously noted, this is subject to regulatory approvals. While still a small component of Hughes, our defense and civilian government teams were busy with the deployment of previously signed programs as well as the continued involvement with many exciting prospects at a federal and state level. We have active engagement with partners in the support of the enterprise infrastructure solutions opportunities and anticipate project awards beginning in late Q2 and into Q3. Also yesterday, we announced our selection in a partnership with OneWeb by the U.S. Air Force Research Lab to provide managed LEO satellite communication services to connect the Arctic region to sites around the globe. As the prime contractor on the project, Hughes will lead the adaptation, integration, testing and ongoing management of the service demonstration. Progress continues on our Jupiter three satellite in Maxar, with an expected launch in the second half of 2022. We continue to work closely with Maxar in opportunities to recover schedule without risk to the satellite. The satellite will leverage the latest technology to lower our cost per bit and provide additional capacity to power the continued demand for service as well as the ability to offer higher speed service plans to our customers. We remain active in the engineering efforts to support the launch of services on the OneWeb Low Earth Orbit constellation, providing the gateway electronics and the call modules. We have resumed deployment for gateways and are ahead of the requirements to support the OneWeb service launch in each region. We are excited about the recent announcement of Eutelsat investing in OneWeb, as we believe it validates our long-term strategy of providing hybrid solutions using both GEO and LEO satellites. GEO satellites will continue to provide the lowest cost per bit for high-capacity density applications and LEOs will provide wide coverage and enable low latency for mobility, enterprise and government applications. We continue to explore various other hybrid architecture solutions. So I'm very pleased with our performance and outlook. Demand for connectivity continues unabated and hybrid solutions like LEO/GEO networks will satisfy this need in the most cost-efficient way. The satellite broadband market is large enough to support different service providers with multiple technologies, and Hughes remains uniquely positioned to play a leading role in providing these solutions. Let me now hand it over to Anders.
Anders Johnson: Thanks, Pradman. Good morning. In Q1, ESS revenue was $4 million, down slightly from Q1 of last year. We saw a slight uptick in FSS backlog in the quarter, and we remain focused on pursuing revenue opportunities in the Ku-band sector as the market continues to slowly recover. Regarding S-band developments, we previously disclosed that the first pair of NGSO satellites for our EchoStar Global subsidiary have been precluded from fulfilling their intended regulatory milestone mission due to force majeure events. I'm pleased to report that we have been granted an extension of the key regulatory milestone reset to August 10, 2021. Our third nanosat is expected to launch midyear, and we are evaluating options for additional spacecraft as we continue to use the EG-1 satellite for market testing. Our related business development activities are continuing, and we're excited about a broad range of potential applications being proposed for the new constellation. On the European front, we recently announced that EchoStar Mobile joined with the LoRa Alliance in February and we are collaborating with Semtech to use our Echo 21 satellite to develop and deploy the first real-time bidirectional satellite service, delivering massive IoT services. These new IoT services will leverage Semtech's LoRa devices, augmented with LR-FHSS technology, which was adopted by the LoRa Alliance as part of the LoRaWAN protocol, allowing satellites to use LoRa to connect IoT devices in remote areas around the globe. We expect initial operations of this LR-FHSS service to begin in the second half of this year. In addition, the EchoStar Mobile team is pleased with the recent decision by the Court of Justice in the European Union, supporting our use case for EchoStar Mobile's S-band, MSS and CGC licenses. Finally, we are continuing our work on multiple fronts to further our longer-term strategic goal of full integration of S-band satellite services into the global 5G networks. I'll now turn it over to Dave.
David Rayner: Thank you, Anders. Good morning to everybody. My comments today will include comments on adjusted EBITDA, which is reconciled to GAAP measurements in our press release. Consolidated revenue in the first quarter was $483 million, up $17 million compared to the same period last year, entirely from our Hughes segment. Higher consumer revenue from increased ARPU and growth in Latin American subscribers were offset by lower equipment sales for our mobile satellite systems customers. In addition, we experienced negative foreign exchange impacts of approximately $6 million, principally related to revenue in Brazil. ESS revenue in Q1 was $4 million and corporate and other revenues, $3 million, both relatively flat compared to last year. Consolidated adjusted EBITDA in the first quarter was $186 million, an increase of 25% from last year. Hughes' adjusted EBITDA in Q1 was $202 million, an increase of $40 million from Q1 last year. Hughes' adjusted EBITDA reflects the growth in the growth - higher gross margin consumer broadband business, lower sales and marketing expenses and lower bad debt expense primarily driven by deflection of amounts reserved on certain enterprise customers in 2020. ESS adjusted EBITDA was flat as compared to last year. Corporate and other adjusted EBITDA was a loss of $18 million compared to a loss of $16 million last year. The primary driver of the increased loss was lower equity and earnings of unconsolidated affiliates as well as somewhat higher legal expense. Net income was $78 million in Q1, an increase of $135 million from last year. This change was primarily due to the higher operating income of $43 million and higher gains on investments of $125 million, partially offset by higher income tax expense of $30 million. Capital expenditures in the quarter were $179 million compared to $105 million in Q1 last year. The increase was primarily due to spend associated with our J3 launch contract, which we signed in December 2020. Free cash flow, defined as adjusted EBITDA minus capex, was $7 million during the quarter. In the first quarter of 2021, we bought back 4.8 million shares of our stock in the open market at a cost of $111 million. We purchased $90 million of our [indiscernible] senior unsecured notes in open market trades in the first quarter. Our intent remains to repay the balance of the seven 5/8% senior notes due in June out of current cash and marketable securities, which was $2.3 billion as of March 31st. Finally, I would note that Moody's recently reformed a review of HSSC's credit and made no change to our ratings. With that, let me now turn the call over to the operator to start the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Ric Prentiss from Raymond James.
Ric Prentiss: Thanks for the operational detail. First question, I want to look at what I think is one of the more unappreciated assets and value. And on the S-band, Anders, you talked a little bit about it. But in the last couple of weeks, we've seen a real big aha moment with DISH with an Amazon announcement that got people realizing what was kind of happening with DISH's 5G network. Help us understand with the S-band, what's kind of the timing as you work through how you might be able to operationalize this spectrum band, network design, anchor tenants? Just kind of help people understand what that time frame is for that longer-term utilization of integrating S-band into 5G.
Anders Johnson: Well, right now, Ric, what we're focused on is, first and foremost, bringing our filing into use. But we're finding having access to the one operational satellite that we have in orbit as a test platform to be giving us some experience in understanding the art of the possible. As far as going forward, many of the standards relating to 5G and how NTN is going to integrate into the larger ecosystem, we're expecting and we're hoping that, that will be qualified in the next turn in rev 17, I believe, which is due to be done in the first quarter of 2022. That will allow manufacturers to move forward with standards, which we're going to allow the market to give us guidance as to exactly what the constellation will look like. But as I mentioned in my comments, we continue to work with a number of partners in moving the ball forward on both devices, applications, but also with potential partnerships for use of the system in the future.
Ric Prentiss: Okay. That helps give a little bit of a time line as far as people realizing what might be there. And then the Jupiter three is still looking with Maxar for a second half 2022 launch. How should we think about that capacity as far as how much of that capacity should we assume stays earmarked for existing customers that just want more versus how much of the capacity is able to be used for new customers?
Anders Johnson: Pradman, you want to address that?
Pradman Kaul: Yes, sure. First of all, the way we look at that capacity, we have roughly about 400 gigabit over North America and about 100 to 150 gigabits in Latin America and Mexico. So the mix of capacity versus new subs will be different in these two regions. And it's very difficult at this stage to exactly quantify that difference. Obviously, our objective is to provide a level of service to our subscribers that they find satisfactory. And we'll just have to play that as the growth of the Internet traffic, as you know, is increasing tremendously. We will continue to maintain a high level of customer satisfaction, which means giving them more bits. But at the same time, we think there's a big pent-up demand for new subs. So we don't see any problem in utilizing the satellite to its full capacity quite quickly.
Ric Prentiss: Makes sense. And then, obviously, our thoughts go out to the people in India. How should we think about the timing of the Bharti JV though? I assume things are very difficult down there right now. But is it - the Bharti JV is maybe year-end 2021? Is it slipping into 2022?
Pradman Kaul: Yes. I would expect second half of 2021. I was talking to the folks just a few days ago, and things - and we need an approval from the Department of Telecommunications. All the other formalities have been met now. And so we're hoping to get that approval in the next, you can't predict it exactly, for the next three to five months.
Ric Prentiss: That would be great.
Pradman Kaul: But I'm hoping at the end of fourth quarter of this year, we should hopefully get it through.
Ric Prentiss: Okay. And then one quick one for Dave. It looked like cost of services, there was an international regulatory fee that got called out in the 10-K for about $4.5 million. So should we assume that the cost of services run rate should be maybe $5 million higher? Or what exactly was that item?
David Rayner: Yes. Well, it was, as I said, in the Q, a regulatory onetime item. We do not expect that to be recurring. So somebody looking for a run rate should certainly add that back in.
Operator: And your next question comes from the line of Chris Quilty from Quilty Analytics.
Chris Quilty: Hey guys I think Ric partially asked the question, but unless I'm wrong though, you reported record EBITDA margins in the Hughes segment, and I was going to inquire about factors that favorably impacted it. It looks like sales and marketing was down. And just trying to get a sense of how supportable that margin level is on a go-forward basis here?
David Rayner: Yes, Chris. I mean so we had - we've been spending a lot of time over the course of the last year post pandemic or during the pandemic on really addressing our costs and trying to get our operating costs down as much as possible last year because we were uncertain as to what the outcome was going to be during the pandemic. And certainly, that - those actions have continued. But as Ric's question and as you correctly pointed out in the Q, we called out a $5 million onetime item - $4.5 million onetime item from a regulatory fee. And as I said in my comments, we had - there were a couple of million dollars' worth of reversals of bad debt from bankruptcies last year that have exited and we got paid some that we really didn't expect to get paid. But other than that, I really don't see a reason why we would see a big step-up in operating expenses short of something changing on the revenue line.
Chris Quilty: Got it. And likewise, I mean, overall, SG&A down. You've already taken out a lot of the cost last year so I was a little surprised to see them down here in the first quarter. Were some of those reversals of bad debt, did they show up in SG&A?
David Rayner: Yes. The reversal of the bad debt showed up in SG&A.
Chris Quilty: Got it. Okay. Since you're expanding service in Puerto Rico, I'm assuming you guys are not seeing any issues with the Telstar 19V. I know there's been some reports around some problems with it, but you're seeing consistent service levels.
Anders Johnson: Yes. There's no impact on the operations of the space, perhaps more is there expected to be in the future.
Chris Quilty: Great. On the equipment side, last quarter, you talked about good strength and yet the revenues - the equipment revenues were down in the first quarter. I know you've got lumpy issues there with OneWeb shipments, and it looks like in Q1, you had very strong orders. Is it fair to assume we should see growth in equipment through the balance of the year?
David Rayner: We certainly expect growth in the enterprise space and the equipment space specifically. And depending on what you're looking at, you got to remember, Q4 to Q1 seasonally and historically, we've seen somewhat of a drop as people buy things at the end of the year. And if you're looking year-over-year, obviously, we have a lot more activity going on the beginning of last year pre COVID, and we're starting to catch back up on that. Pradman, do you have any further comment you want to make there?
Pradman Kaul: Yes. I think the equipment sales on OneWeb will cause the rest of this year to see a big increase in equipment sales, which we didn't have last year at the same time. So that's one major step function increase.
Chris Quilty: Okay. And for clarification purposes, I think in the 10-Q, it mentioned hardware sales down by about $5 million to mobile satellite systems, which back in the pre-Hughes days pre-acquisition by EchoStar meant something different in terms of what you're supporting. What do you classify into the, I guess, we'll call it the MSS bucket today? Does that include NGSO stuff?
Michael Dugan: No, no. It's only mobility as defined in the MSS region, right, which is the L-band, S-band equipment sales that we make to customers like Thuraya, Inmarsat and other distributors of the BGAN terminals. So this is totally different than any fixed FSS kind of markets that we serve with the equipment in the Ku- and Ka-band. So it's got - so it's a small business. It typically represents specific sales of equipment and services to these customers that I just mentioned.
David Rayner: Yes. And Chris, it tends to be fairly volatile line for us. We'll see big sales and then things will drop off and that's been the historical situation. In this case, specifically, last year, in Q1, we had some meaningful sales that despite the numbers in Q1 last year. But this is not a reduction in any sort of run rate. As I said, it tends to be a little bit bouncy.
Chris Quilty: Got you. And one, a couple of question on OneWeb. With those deployments going out, I know you're doing the core module for the modem, are there any large R&D expenses associated with OneWeb or other NGSO systems that you would expect this year?
Pradman Kaul: No. I think OneWeb; we don't do any R&D specifically for OneWeb. OneWeb though work - the development work that we are doing for OneWeb is being funded by the project itself. And so it doesn't represent - will require no investment from us in terms of R&D. - new R&D.
Chris Quilty: Understand. For Pradman, if I ran the numbers right, the ARPUs were up pretty significantly year-over-year and sequentially. Is that a fair assumption? And again, is this just calling of the existing North American base to higher ARPU customers? Or was there a significant contribution from international?
Pradman Kaul: You want to take that, Dave? Or...
David Rayner: Yes, I'll be happy to take it. I mean the ARPU is significantly up year-over-year in North America, especially. And it's really an indication of higher use. So customers migrating to bigger packages and additional charges that we've been making for higher usage customers. So it is - it's pretty much entirely in North America. South America is up a little bit, but not nearly as much of an impact on the overall ARPU.
Chris Quilty: Great. And one question regarding the S-band and the LoRa effort, it sounds like there's actually some revenue associated with that in terms of the deployment. Can you maybe describe perhaps the topology? I didn't quite understand, is this a direct-to-satellite type of deployment? Or how might that actually generate either services or equipment demands associated with that business model?
Anders Johnson: I'm sorry. Chris, could you restate that again, please?
Chris Quilty: Yes. So you mentioned it was a bit of a new announcement, what you're doing with Semtech and LoRa.
Anders Johnson: Yes.
Chris Quilty: And it sounds like, I thought I heard you say that there's revenues in the second half of the year. And I'm just trying to understand the business model of what you would be contributing. Is that services off the Echo 21 satellite? Is there hardware sales? Is it meaningful in any way?
Anders Johnson: Well, what we're planning on doing is deploying the first devices in the field to validate sort of the functionality of the technology and then we will be working with both customers as well as service providers to turn that capability into devices, which will then be used in those applications. So it's not necessarily indicative of revenue in the second half of this year, but it's a meaningful step forward from a development standpoint in that we're going to extend LoRa's reach beyond the footprint of the existing terrestrial capabilities, which we think a lot of verticals will ascribe some significant value to that. But from a revenue standpoint, I wouldn't expect that we're going to see material revenue in 2021. We certainly have hopes and expectations about 2022.
Chris Quilty: Great. And so this is sort of a hub-and-spoke-type deployment, where you'd have a satellite terminal that would then broadcast then LoRa to client devices?
Anders Johnson: No. This will be a device that will primarily communicate with a terrestrial network. And when no terrestrial network is available, we'll communicate directly to the satellite.
Operator: Thank you. And we have a follow-up from Ric Prentiss of Raymond James.
Ric Prentiss: Yes Thanks. Was just coming back if there were no other questions. I think Walt might be out there also. A couple of quick ones on my side then. Any supply chain issues? We hear that frequently from different people in the system, AT&T, CEO, obviously, signaling was a little bit skittish on stuff. So what do you see as far as supply chain?
Michael Dugan: Pradman, do you want to address it?
Pradman Kaul: Yes. Sure. Our manufacturing guys have been doing an excellent job in anticipating the needs of the business and placing enough orders in advance that we have so far seen no impact on our shipments. And at this stage, we are comfortable that our planned shipments for the rest of the year will be met with the orders that we have placed and the inventory that we have for parts and components in our factories.
Ric Prentiss: That's good. Good plan ahead. Also, obviously, as the Jupiter three launches, there'll be some increase in costs, operating costs, not just the capex to get the bird launched. How should we think about the timing and maybe a rough magnitude as far as what the cost might mean because usually the cost will come ahead of revenues? Done a good job reducing costs. But at some point, we should be thinking about it maybe increasing because of the J3 cost?
David Rayner: No, that's a fair question, Ric. And it's something we're certainly spending a lot of time paying attention to because we don't want to get those costs too far ahead. So while we're continuing to deploy capital for the build-out of the ground infrastructure, we will start incurring operating expenses at some point in time in advance of the launch. I would not expect any material increase in those operating expenses during 2021, and we'll start seeing some ramp in 2022 as we get ready for the launch.
Ric Prentiss: That makes sense. Will operating margins still stay fairly high as you look even as J3 launches?
David Rayner: Yes. I mean it's going to add cost, but it's not going to materially change the margins or anything else. And certainly, we'll recover that as we resume growth off of J3. Yes, those costs will be absorbed very quickly.
Ric Prentiss: Right. Okay. Makes sense. One final one from me. You get the question quite a bit, obviously, with the Starlink beta test out there. Have you experienced any noticeable impact on your subscriber base while the beta trial has been going on as far as impacting the adds at Hughes? And how do you expect that to play out? And the secondary question is, a lot of times we get people asking roughly, and I know it's not a perfect question. What's kind of the population density that a typical Hughes customer lives in? How many people per square mile or homes per square kilometer type that there'd be?
Pradman Kaul: Yes. The number we use is like 10 families per square mile, but it varies in different parts of the. Now in terms of - we've had no impact to date, obviously, from LinkStar because all they've been doing is running a beta program, and they haven't actually started implementing operational program. So there will be no impact to date.
Operator: Thank you. And your next question comes from the line of Giles Thorne from Jefferies. Go ahead, please.
Giles Thorne: Thank you. My first question is on why we read about Eutelsat participating in the big post-restructuring funding round for OneWeb and not EchoStar or Hughes? And then my second question is picking up on the Australian funding from last month, they're pretty well funded now and coming with a different model and a different technology to essentially address the same application as your core Hughes business. So I'd be interested to hear Pradman's thoughts on what a strong path.
Pradman Kaul: I didn't get the second question, Giles. But the first question is we obviously were part of the investment group that invested in bringing OneWeb out of bankruptcy. We invested $50 million and obviously, Eutelsat come in with $550 million recently. But we were part of the original group of the U.K. government, Bharti Enterprises and us and SoftBank were part of the initial part. So we are an early investor, and we're a strong believer in the LEO constellation that OneWeb is building. And eventually, the LEO/GEO architecture that hybrid architecture that we are proposing along with what Eutelsat has done and revalidated the same strategy going forward with their partnership with OneWeb. The second question...
Giles Thorne: Why not be more? I'm a bit curious, why not be bolder? Why not invest more?
Pradman Kaul: Obviously, we continuously look at investment opportunities. And at this stage, we believe that is the right amount that made sense.
Giles Thorne: There's still a final funding round to be done. Are you happy to say you definitely won't be part of that final funding for OneWeb?
David Rayner: Giles, as you're aware, we don't discuss our strategic investments and our strategy there. We sometimes discuss them after we're done, but we don't speculate on what we may or may not do in the future.
Giles Thorne: Fair enough. And probably the second question was on Astranis, the satellite start-up out of California. Just curious what you thought on their technology.
Pradman Kaul: It's an interesting technology and I think there will be potentially a market segment that they'll address. But the market segment that we are in the broadband area part, it requires so many effects large pipes and large amount of data that it really doesn't apply much in our business.
Operator: Thank you. And your next question comes from the line of Chris Eitel from North Sand. Go ahead please.
Chris Eitel: Hey guys Thanks for your time. I was hoping you could comment, Omnispace, a company you all know well, has made a number of public comments on the characterization of their S-band kind of global rights in their network in terms of kind of leveraging the S-band for a lower unit cost device and better propagation. Could you, Anders, maybe you could comment on is the strategy similar in terms of the network that they're talking about to what you all? And if not, how is it going to be differentiated? Thanks.
Anders Johnson: Well, I think we're both pursuing the moving target. We're very aware of Omnispace. In fact, we coordinate on a lot of matters with Omnispace and regulatory and standards areas to our mutual benefit. I think their business plan has evolved considerably, and they now have some satellites under construction, I believe, with Thales. And they, I believe, are certainly focused on sort of a massive IoT opportunity from a lower earth orbit. We haven't necessarily ourselves walk in to a particular plan, but we are incubating a lot of different potential devices and use cases for using our spectrum, how that will translate into hardware and a constellation is still under development in essence. So I read the same things you read about Omnispace, and it would certainly suggest to me that they're going after the massive IoT market as a primary thrust. That's one of the markets that we're looking at, but certainly not the only one
Chris Eitel: And maybe as a follow-up, and thanks for the context, but you guys talked about a mid-2021 launch, I presume that's a LEO launch?
Anders Johnson: It is. It's - our Australian filing is itself a LEO filing. So once we bring that filing into use, it will crystallize our rights. But on top of that, we have made multiple other filings through multiple administrations.
Chris Eitel: And maybe just to follow-up, and I'm pressing a little bit just because there's not a lot of detail out in terms of what the plan is, and I understand that. But if you kind of think about the capacity of that type of network, I think I've heard you all talk about the capacity of having billions of devices, which would leverage that ecosystem in S-band. And maybe if you could talk a little bit about five years out, what you see the potential from kind of a revenue cash flow standpoint kind of based on what you're seeing right now and especially considering you talked about, hopeful on 2022 contribution of revenues?
Anders Johnson: Yes. I think doing a long-range forecast on revenues based on a system, which we haven't settled on the design yet, would be highly speculative. But the fact of the matter is we're going to have sort of a block of spectrum available to us globally and how we use that block of spectrum, especially as an extension to the 5G ecosystem is really where we see the value of this residing. Now S-band is unique in that it has the qualification from an authorization standpoint to be used both terrestrially and for MSS services and therefore, is very unique when compared to other spectrum that's being deployed terrestrially. So we think figuring out how to position ourselves to exploit that dual-use character is in our best long-term interest, and that's what we're focused on.
Chris Eitel: That's super helpful. And as a long-term shareholder, appreciate your large share repurchase recently in the market. Thanks very much guys.
Operator: Thank you, Chris. And this concludes today's conference call. Thank you for participating. You may now disconnect.